Operator: Ladies and gentlemen, thank you for standing by for UTStarcom’s Third Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. If you have any objections, you may disconnect at this time. This is now my pleasure to introduce the host for today’s call, Ms. Jane Zuo, Investor Relations Senior Manager for UTStarcom. You may begin.
Jane Zuo: Hello everyone. And welcome to UTStarcom’s third quarter 2014 earnings conference call. Earlier today, we distributed our earnings press release and you can find a copy on our website at www.utstar.com. In addition, we have posted a slideshow presentation on our website, which you can download and use to follow along with today’s call. On today’s call, we have Mr. William Wong, our CEO and Mr. Min Xu our CFO. Before we get started, I will read the company’s advisory on forward-looking statements. This call will include forward-looking statements relating to the company’s business, strategic initiatives and the performance in the third quarter of 2014. These statements are forward-looking in nature and subject to risks and uncertainties that may cause actual results to differ materially and adversely from the company’s current expectations. This includes risks and uncertainties related to among other things changes in the financial condition and cash positions of the company, changes in the composition of the company’s management and their effect on the company, the company’s ability to realize anticipated results of operational improvements and benefits of divestiture transaction, the ability to successfully identify and acquire appropriate technologies and businesses for inorganic growth and to integrate such acquisitions, the ability to internally innovate and develop new products, assumptions that company makes regarding the growth of the market and the success of the company’s offerings in the market, and the company’s ability to execute its business plans and manage regulatory matters. The risks and uncertainties also include the risk factors identified in the company’s latest Annual Report on Form 20(f) and current reports on Form 6(k) as filed with the Securities and Exchange Commission. The company is in the period of strategic transitions and the conduct of its business is exposed to additional risks as a result. All forward-looking statements included in this conference call are based upon information available to the company as of the date of this conference call, which may change; and the company assumes no obligation to update any such forward-looking statements. I will now hand the call over to our CEO Mr. William Wong.
William Wong: Thank you, Jane, and hello everyone. As Jane mentioned, you can follow along with today’s call by downloading the presentation from our website at www.utstar.com. Also unless otherwise stated all figures mentioned during the call are in U.S. dollars. I will first take you through an overview of financial and operating highlights from the third quarter and then I will welcome our new CFO, Min Xu, who will share with you the details of our financial performance. To reiterate what I said last quarter, I’m delighted that Min has joined our management team and we look forward with many contributions to our business. I’m also pleased to announce the appointment to the Board of Mr. Tetsuzo Matsumoto as the new an Independent Director of the company. This brings our total Board composition to seven Directors including five Independent Directors. Now, please turn to slide 5. We have delivered, what we view as a solid third quarter and this is attributed to the strength of our core broadband business, as well as our aggressive business transformation that we have been focusing on executing. The revenue results exceeded expectations and we had a sequential improvement in gross margin, which demonstrate a positive progress we are making in driving our business forward. Operating highlights. We also achieved a number of important milestones during the third quarter. During the quarter strengthened our relationship with Chunghwa Telecom Company Limited, the leading integrated telecommunications service provider in Taiwan by winning an expansion contract originally one in 2013. Under the new arrangement, we will provide Packet Optical Transport products and services for their mobile backhaul network deployment. We are pleased that Chunghwa Telecom has expanded our mandate and we look forward to working with them to support their future network expansion and deployment needs as well. We also started the shipment of multi-service access network, MSAN equipment to support BSNL, a leading telecom service provider in India, as it works to upgrade its network to offer Next Generation Multi-Media Services to its customers. Finally, we continue to make significant progress in doing business in our three key target markets; Japan, the U.S. and India. We showcased our solutions in products in the three regions with our participation at Softbank in Japan, at CableLabs Summer Conference in Colorado and at the next generation Packet Transport Network Conference in Delhi and Mumbai in India. All of these things show we are making important strategic advances. We continue to be at the very forefront in terms of technological innovations and we are increasingly becoming the partner of choice for network service providers in multiple geographies as they enhance their core infrastructure. Financial highlights. Min will walk you through our third quarter financial results in a moment, but let me provide a top-line summary of our financial results for the quarter. First of all, we surpassed the initial top-line expectations we provided for this quarter, achieving $32.3 million revenue. Second, our gross margin showed improvement rising to 23.9% for the third quarter from 20.1% on a sequential basis; although decrease as compared to 28.7% for the corresponding period in 2013, this improvement reflects impart a favorable shift in our sales mix. Importantly, we further decreased operational expenses by 17% compared to the same period last year building on a significant cost savings we have reported for several quarters all resulting from our cost cutting and efficiency initiatives. We maintained a strong balance sheet ending the quarter with $90.5 million in cash and cash equivalents and no debt. And we achieved positive operating cash flow in the third quarter. Business update, Broadband. As you will see on slide 6, broadband continues to be an engine of growth for the company and we are making great advances in three key product categories. First, we have seen a great deal of interest in our flagship TN765 that we launched earlier this year. The theory is net-based Packet Optical Transport product with 100 gig services support. We also launched our carrier-grade Wi-Fi solution, the MSG10K, to global telecommunications and cable operators in the last quarter, following the successful commercial deployment with Softbank, the Tier 1 carrier in Japan. As a result of the demand we’re experiencing, we’re anticipating a shift in our product mix towards the higher-end of the market as we move into production shipment in 2015, which in turn means that we will likely be generating higher margin revenue next year. Second, we have started a field trial for our flagship TN765 packet optical transport product. As the market demand for bandwidth is continuing to be very strong, we’re now seeing immense opportunities that service providers are upgrading their network directly to a 100 gig rather than going through to 40 gig and then on to a 100 gig. As such, we’re accelerating our 100 gig field trial in Q1 2015 as well. Third, as mentioned a moment ago, Chunghwa Telecom Company Limited has decided to expand their relationship and contract with us and this should produce significant benefits overall. Furthermore, our customers in Brazil and Indonesia have also continued to expand their network deployment with our packet optical transport products. Four, as we have said in the past, data traffic offloading from 3G and 4G wireless networks is expected to rapidly increase and carrier-grade Wi-Fi is important for getting a full view of Wi-Fi’s place in the network and its utilization, as well as end user quality of experience. On top of that, cable MSOs across the world are very aggressively deploying Wi-Fi for customer stickiness, as well as new services deployment. As a leader in this category, we will continue to innovate and lead the high-growth segment of the market in wireless broadband technology development. Finally, in the third quarter, we completed a successful proof-of-concept test of our Software Defined Open Packet Optical Network technology with Softbank in Japan, which demonstrated our ability to enable dynamic and pre-planned bandwidth on demand provisioning on a tier one carrier network. We will begin a commercial deployment of the trademarked SOO Network product line at the end of this year. As you may have heard us mentioned this previously, SDN is a fundamental change in telecom network architecture. As a pioneer, we will continue to invest in this area to expand our trademarked SOO technology to our broadband access product lines and introduce the higher layer services with an aim to help operators achieve greater operational efficiency and CapEx savings. Business update, new media. Now, please turn to slide 7 and I’ll discuss our strategic investments aioTV and iTV Media. As the single largest investor in both companies, we continue to benefit from their continued growth and we actively support the development of their businesses. In addition to this, we are exploring ways to package their media services and technology with our broadband products. Thailand continues to be an important growth market for iTV Media. As a result of this, we entered into a loan debt agreement with iTV Media to a total amount of $1.08 million during this quarter to further fund iTV Media’s business development in Thailand. Beyond these operations in Thailand, iTV Media has begun its global business expansion and is pursuing opportunities in China, India and the United States. Turning to aioTV, they have made significant progress during the last quarter. The company initiated a strategic project with Midcontinent Communications, the leading provider of data, video and phone services and cable advertising production in the upper Midwest in the United States to deliver online services, apps and streaming internet content along with Midcontinent’s existing multi-channel in a single consumer experience. In addition to this, it also secured another new customer win working with an internationally funded company to offer Latino service in the U.S. AioTV also recently received two critical U.S. patents, which enabled unified service creation from multiple sources of live, on-demand and/or freely available internet content and the delivery of video content for multiple platforms to subscribers. We [receipt] of these two patents further demonstrates that aioTV is now firmly on its way to become a market leader with the ability to create and deliver multi-source content in a single customer experience with a solid foundation based on very strong intellectual property. UTStarcom’s strategy. Turning slide 9, I would now like to share an update with you on the important progress we have made in our go-forward strategy. First, broadband will continue to be the driver of business globally in terms of future revenue growth. Let me walk you through our recent progress. First, we have expanded our global marketing and sales initiatives and appointed two executives to our global leadership team, all of which will help us greatly strengthen our go-to-market strategy in our three key regions; namely Japan, India and U.S. Second, we continue to invest in forging strategic relationships with operators and partners and are actively participating in important industry events and conferences. Most recently, we displayed our latest suite of broadband projects in Japan, U.S. and India. The customer feedback that we received further reinforces our commitment to the packet optical transport, carrier Wi-Fi and SDN markets. Over the last two years, we have seen a tremendous growth in the optical transport network area, with the majority of growth coming from North America. We’re also extremely confident about the growth potential for our TN765 with 100 gig internet services support in the U.S. market. Third, we are further reinforcing our R&D capability to add new innovative technologies and products in our core broadband product portfolio. This will help telecom and cable service providers to easily and cost effectively add functionality to their networks, which is consistent with UTStarcom’s simple network, simple operation design philosophy. For example, we recently received feedback from a customer indicating they’re seeing well over 50% of data traffic being offloaded from 3G, 4G network on to Wi-Fi with the deployment of our MSG10K solution. This translates to a significant operating expense savings for our customers as the cost of obtaining data using Wi-Fi is almost one-tenth of that of using cellular. Lastly, we continue to make good progress in extending our success in India’s broadband market. As you know, we won a $24 million broadband access contract with BSNL earlier this year and we have started shipment of our multi-service access network, MSAN equipment last quarter. We will continue to grow our strong position in India, which is one of the largest, fastest growing and most competitive telecom markets worldwide. Please turn to slide 10. Second, alongside growing our broadband business, we will maximize our investment return in iTV Media and aioTV. First, as I have said before, we will benefit as an investor in the appreciation in the value of their business and we continue to support them in their growth path. The investments are maturing and we see several signs that bode well for the valuations. Second, our investments in iTV Media and aioTV provide opportunities for UTStarcom to market new media products to our broadband customers, potentially opening new revenue streams for us and increasing our value to our broadband customers. And finally, these investments are yielding in-size that we are using to ensure that our broadband technology is capable of supporting networks that deliver highly customized bandwidth and demand positioning and connection everywhere that consumers want. This will further differentiate our SDN platform as well. Third, we will continue to improve operational efficiency. We have dramatically reduced operating expenses as part of our restructuring efforts to further streamline our core business and invest in growth initiatives. Although we have almost fully emerged from the transformation, we will continue with our cost control efforts to fund new product investments, regional expansion and provide optimum shareholder value over the long-term. Before, I turn the call to Min for a financial overview, I would like to say a few words on the stock repurchase program that we announced earlier today. We announced that our Board of Directors has approved a stock repurchase program of up to $40 million of our outstanding stock over the next 24 months. The stock repurchase program was approved by our Board of Directors and came into effect as of November 12, 2014. With that, let me turn the call over to Min, who will walk through the financials for the third quarter in more detail. And then we will provide our outlook for the fourth quarter and turn to your questions.
Min Xu: Thank you, William and hello everyone. This is my first earnings call at UTStarcom in my new capacity as CFO. I’m very excited about this opportunity and look forward to working with you in the future. I will now take a few minutes to discuss our third quarter financial results in more detail. Please turn to slide 14. Before I walk through specific numbers, I would like to highlight a few key themes of third quarter. As William touched upon earlier, we delivered better than expected revenues and a sequential improvement in our gross margin. We achieved positive operating cash flow and maintained solid cash balance of $90.5 million. Also during the quarter, one of our investments, Cortina Systems was acquired by Inphi. The deal was closed on October 3rd and the consideration allocated to us is estimated to be $1.8 million. Please turn to slide 15 for revenue review. In third quarter, total revenue was $32.3 million exceeding our initial expectations of $25 million to $30 million and is slightly above the previous quarter revenue of $31.9 million. Our third quarter revenue upside came from revenue recognition of our large sales that we previously expect to recognize in the fourth quarter. In the first nine months of 2014, revenue was $96.5million compared to $126.1 million in the prior year period. Please turn to slide 16 and 17 for gross profit and gross margins. In the third quarter gross profit was $7.7 million compared to $11.8 million in the prior year period. Gross margin was 23.9% compared to 28.7% in the prior year period of 2013 and improved sequentially from 20.1% in the second quarter of 2014. The sequential margin improvement was mainly due to a better product mix in the third quarter. In the first nine months of 2014, gross profit was $18.7 million compared to $33.1 million in the prior year period. Gross margin was 19.4% compared to 26.2% in the prior year period. The year-over-year decrease in gross profit and gross margin were primarily caused by the decreased sales of relatively higher margin optical transport products due to the gap between product generations. Please turn to slide 18 for operating expenses. In the third quarter, operating expenses were $9.6 million, a significant decrease of 17% year-over-year compared to $11.6 million in the prior year period. In first nine months of 2014, operating expenses were $26.7 million, a significant decrease of 29.1% year-over-year compared to $37.7 million in the prior year period. This reflects the company’s continued successful efforts to reduce operating expenses. Please turn to slide 19 and 20 for operating loss and net loss. In the third quarter, operating loss was $1.9 million compared to operating income of $0.2 million in prior year period. In the first nine months of 2014, operating loss was $8.0 million compared to operating loss of $4.7 million in the prior year period. In the third quarter, net loss was $8.2 million compared to a net income of $0.4 million in the prior year period. In the first nine months of 2014, the net loss was $16.1 million compared to a net loss of $6.7 million in the prior year period. The year-over-year increase in net loss was mainly due to investment impairment during the quarter. In particular, there was a one-time impairment loss of $1.5 million from investment of Cortina. In addition, the company recorded a $2.8 million loan impairment that was made to ESA during this quarter. Please turn to slide 21 to balance sheet and cash flow. We ended third quarter with $90.5 million in cash and equivalents and we have no debt. In the third quarter cash provided by operating activities stood at $0.5 million. Cash used in investing activities was $2.2 million including $0.7 million CapEx $1.1 million loan to iTV Media and $0.5 million of changes in restricted cash. This concludes my financial review. Now, I would like to turn the call back to William to discuss our outlook for the coming quarters. William?
William Wong: Thank you, Min. Please turn to slide 23. I’ll say a few final words of our outlook and then we can move on to your questions. We believe we are nearing the end of our transition and transformation and we are optimistic about the future and see continued demand for innovative technologies we are bringing to the market. We continue to see broadband as the main driver of revenue for the business going forward and with our focus on three key growth markets; Japan, U.S. and India. I am confident that we’re moving in the right direction. The year-to-date period and indeed all of 2014 has been and will be about building a foundation as part of our business transformation process, developing the right products, growing our customer base and expanding our geographical focus and we believe this will position us to make a very solid gains in the coming year. In terms of the near-term revenue expectation, we anticipate total revenue in the fourth quarter of 2014 to be in the range of $25 million to $30 million. Looking ahead to 2015, we currently expect to achieve double-digit percentage growth in revenue for the full year. This will be driven by demand from our existing and new customers for new and higher margin optical transport products together with Wi-Fi and SDN products, which are expected to result in significant revenue contribution beginning in the second half of 2015. It is important to highlight that future gross margin will be very much dependent on the operating environment, as well as the macroeconomic factors like the Yen depreciation. Also, with a relative decline in carrier capital expenditures, including among our core customers, in the latter half of this year, we now expect a slight delay in the uptick of some of the higher-end products we have worked to introduce and this will result in a shift of expected new revenue into the second half of 2015. The combination of these factors are likely to impact our gross margin in the short-term and will likely mean that our overall performance for 2014 will be rapidly stable or slightly below 2013. With all of that said, our carriers have expressed strong support for our products. Our business is in better shape than ever before. And we do expect a strong operating environment and incremental improvement in financial performance in 2015. With that, Min and I would like to take your questions. Operator, please open the line for Q&A.
Operator: Thank you, William. We will now begin the question-and-answer session. (Operator Instructions). Our first question comes from William Gregozeski from Greenridge Global. Your line is open. Please go ahead.
William Wong: Hey Bill, we cannot hear you. Make sure you’re not on mute.
Operator: Sir, may I open another line for you?
William Gregozeski - Greenridge Global: Hello?
William Wong: Hey Bill?
Operator: Mr. William, your line is open. Please go ahead.
William Gregozeski - Greenridge Global: Hi. Can you hear me?
William Wong: Yes, we can.
William Gregozeski - Greenridge Global: Okay. Couple of questions. You mentioned that some of the sales that came into the third quarter for the outperformance reporting the fourth. Can you give an estimate as to how much was pulled out of the fourth quarter?
Min Xu: So, hey Bill, this is Min. So, we cannot give a specific amount, but you can’t -- I would say it’s roughly kind of a mid-single-digit in terms of other [month].
William Gregozeski - Greenridge Global: Okay. And as far the mix in this quarter is it because the margin was better. Is it safe to assume that the mix was more towards products than the lower margin resale?
William Wong: So, the better margin this quarter got help from both the sales of better margin [PTM] product and some of the better margin broadband access product. So it’s a combination.
William Gregozeski - Greenridge Global: Okay, all right. And then can you just briefly talk about the timelines for the 765 in SDN as to when, for modeling purposes, we can expect the sales to really start that slow ramp up?
William Wong: Actually on the TN765, we’re seeing very strong demand coming from the market. On the other hand though, the demand is so strong that many of the customers has decided to jump directly to a 100 gig service as opposed to go through 40 gig and then transition on to 100 gig. So, as such, we are accelerating our field trial for the 100 gig services in the Q1 2015. And so, once the field trial is completed then the full deployment of the 2015 would be able to start.
William Gregozeski - Greenridge Global: Okay. So, I mean I guess as far as when that will start would it be something like second quarter, third quarter?
William Wong: Yes, it would be within such timeline.
William Gregozeski - Greenridge Global: Okay. With the new customers you mentioned on aioTV, when will those two services be deployed and how many customers is aioTV picking up or I guess end customers?
William Wong: So, we cannot disclose this information right now, but we will probably give you more update in the next quarter’s call.
William Gregozeski - Greenridge Global: Okay. Last question was in regards to the buyback, how aggressive do you expect the company will be on that, because the stock certainly seems extremely cheap on a lot of different metrics to me?
William Wong: Yes. We do believe the stock is under value for all the underlying business and investments that we have on hand. The aggressiveness of the buyback would also depend on the uptick of the cash inflow into the company. So, we will continue to start the stock purchase buyback so long as the price is not at a current depressed level. But we cannot say specifically at this moment how much we are buying at which point.
Min Xu: Yes. We announced this buyback program just to show how confident we are in our future business.
William Gregozeski - Greenridge Global: Okay. All right, thank you guys.
William Wong: Thank you, Bill.
Min Xu: Thanks Bill.
Operator: Our next question comes from the line of Carter Driscoll from MLV. Your line is open. Please go ahead.
Carter Driscoll - MLV: Hi, good morning gentlemen. Maybe you could talk about your view on kind of the pull back in carrier CapEx, obviously you alluded to some of the higher end products being serviced away, maybe a little more granularity of where you see them either redeploying or pulling back from specific investment decisions and maybe by if there is any differences by carrier or region you’d like to call out. And then I have a couple of follow-ups?
Min Xu: Well, certainly a lot of the CapEx in the more mature regions are where they’re experiencing some of the cut backs or a delay. Whereas on the other hand, in some of the emerging markets we’re not seeing any hold back, we just like India and so forth, they are touching, pushing forward with the new network deployment.
Carter Driscoll - MLV: Is it more of that there along hitting their purchasing decisions that you’re seeing maybe in the phase of -- and that subscriber growth not being as robust, is it just a level of cautiousness given the global macro environment. Any additional or incremental color would be helpful?
Min Xu: It’s mostly coming from their cost cautiousness. And in areas where there is no definitive or very absolute requirement to make the investment then they would sort of scale back a little bit. But in the case of the emerging market, they are sort of like in a very desperate mode to get going and deploy the full stream network. So that’s also the reason why they have not made any decision to slowdown or scale back to any degree.
Carter Driscoll - MLV: Okay. Next question is, you’re looking at your investment portfolio, obviously you had a sale, maybe directed to you, Min, have you -- there is a full analysis of all those investments and do you expect any future sales in the near-term and/or potential reclassification of the investment portfolio in any way?
Min Xu: Yes. So, when we look at our investment portfolio, we did some investment impairment and write down this quarter. So, looking forward, we believe we are very optimistic on our investment in iTV Media, aioTV, as well as WCP. And as we mentioned, we’re working very hard to monetize our investments. However, unless the cash hit our bank account, we cannot really predict any timeframe. But one thing we’re sure that our investment portfolio is very valuable. And we will at some point monetize that.
Carter Driscoll - MLV: Okay. Well yes, I mean given the strength of your balance sheet there is no rough to do so obviously.
Min Xu: Definitely. So, this is why, during the quarter we invested another $1 million into iTV Media to help with their growth and obviously the purpose just to maximize the invested return on our investment in iTV.
Carter Driscoll - MLV: Okay. And then maybe just shifting gears a little bit, given the very aggressive expansionary month or expansionary policy that Japan just set on grounds whatever number you want to sign to it, it looks like you’re getting into a period not only of currency depreciation of yen versus the dollar, but maybe even potentially getting into early stages of currency worse. Do you guys have an active program either to hedge the yen and/or any other currency translation? How do you think about that in light of what actions Japan just took and potentially what might take place in some other countries in which you represent?
Min Xu: So, in terms of hedging, we did compare that analysis and it does not make sense to hedge at this point. However, we will periodically evaluate situation and make adjustment as necessary. However, we’re taking some measures to mitigate risk of any currency depreciation. First of all, we want to reduce the payment term. On average, our Japanese yen sales payment term is 30 days. Second, we will only maintain a minimal, for example, Japanese yen balance as needed. We convert the rest to U.S. dollar as soon as possible. And so, whenever possible, we will add terms in our future sales contract to mitigate the foreign exchange impact.
Carter Driscoll - MLV: And then just my last question is aioTV you’ve had a nice couple of analysis there in U.S. market, maybe could you, compared to financials it’s positioning versus some other content service providers in the U.S. that are maybe offering similar types of bundled services and where they can differentiate themselves? Just like to hear maybe a little elaboration on U.S. strategy for that investment?
William Wong: Well, [AIO] is a very unique company and the fact that they offer very proprietary technologies that enable them to help the service operator to deliver multi-source contents under the same platform, namely whether it’s the internet-free content, internet-pay content, as well as their standard multi-channel content. And actually, as I described earlier in my script talking about them receiving two recent patents, those are very, very critical patents that actually support the company in their path moving forward with very strong intellectual property. So that is one of the key, I would say distinction of AIO versus a lot of other competitions in that space. Now relatively speaking, in that space there are number of good companies and also we have seen in the past actually within 12 months, quite a bit of M&A activities already happened. Companies got bought by Ericsson earlier in the year, bought by Yahoo! within the last quarter or so. So, it is a very I would say very hot pursuit kind of the area as far as M&A is concerned in the OTT platform solution play.
Min Xu: And Carter I just want to add that we’re very confident on aioTV’s value not only for its recent customer win and that variable patent portfolio, also AIO is a peer with similar technology and similar size was acquired earlier this year for more than $100 million. So that gives us a lot of confidence that this is a great investment for us.
Carter Driscoll - MLV: Absolutely, it may grow your products there. That’s all I have this morning gentlemen. Thank you for your time.
William Wong: Thank you, Carter.
Min Xu: Thank you.
Operator: Our next question comes from the line of Tony Tian from Merriman Capital. Your line is open. Please go ahead.
Tony Tian - Merriman Capital: Thank you. Hi Min, hi William. I have a question regarding your iTV business. It appears that the equity pick up of the [losses] associated with iTV Media has been growing up for three quarters in a row. I’m just curious what’s going on there? Is there any progress in terms of gaining new customers getting more subscribers during the quarter?
William Wong: iTV is actually continuing their development as planned. And they have also now begin to explore additional sales channels beyond just going through TOT, telemarketing on their own and so forth. And then other channel also, when the CEO Mr. Lin Song was here described also selling through TV companies and mobile phones and so forth to expand their services reach. And in addition to that, as I mentioned, they are now feeling comfortable to actually begin the global business expansion. They have begun actually trial in couple of districts in China. At the same time, they have also launched activities in testing their system with operators in India and begin the engagement with some of the MSOs in the U.S. as well. So, we are quite confident and then looking at the iTV investment, we have very strong confidence that they can continue on the growth track.
Tony Tian - Merriman Capital: Thank you, William. A follow-up on the iTV Media, again for iTV Media, you are just trying to check over $1 million in during the quarter. Obviously iTV -- I’m not expecting the company, iTV Media to be profitable any time soon. So, is the work for basic standard for [UT] as now is that company is willing to fund iTV Media also including aioTV whenever there is a cash need?
Min Xu: So, we will continue to support our investment portfolio company to grow. And in case of iTV, we extend this long to help them to grow their subscribers.
Tony Tian - Merriman Capital: Okay. My last question is a housekeeping question. When you talk about outlook, you said gross margin will be essentially in line or slightly below last year. Are you referring to 4Q or are you referring to the full year of 2014?
Min Xu: Actually we’re talking both. So for Q4, we are likely to face Japanese yen depreciation pressure, as well as probably less favorable product mix. And for the full year, we actually had a pretty strong 2013 in terms of product mix.
Tony Tian - Merriman Capital: Okay. That kind of helped. Thank you.
William Wong: Thanks Tony.
Min Xu: Thank you, Tony.
Operator: Our next question comes from the line of Brian Coyne from National Alliance Capital Markets. Your line is open. Please go ahead.
Brian Coyne – National Alliance Capital Markets: Hi guys. Thanks for taking my call. I just had two higher level questions. First, regarding India, I know you expressed your overall strategy of moving up the value chain from a product standpoint and the resulting impact on mix and margin. I’m wondering considering that India is an important target market for you and it has been an important market obviously, but through continued expansion there, how confident are you that that can continue to be good profitable business? I think that’s my first and then my second one would be if you could give us any updates on your partnership, I may have missed something in the interim. But on your with the DASAN, I know that had a particularly interesting sort of U.S. or North American component around GPON. And I just was wondering if there is an update on that business you can share, perhaps a bit of a customer market outlook for that? Thanks.
William Wong: Hi Brian. Let me take the question here. For India actually recently I took almost my entire management team over to India to participate in the recent packet optical transport conference and also meet up with a lot of customers and then including also government officials. It is true that in the past most company who is operating in India have the tough time trying to make a profit, but within the last six to nine months, our experience has been that the overall business atmosphere has been improving and more so particularly after Mr. Modi came on board as the Prime Minister. And a lot of nationwide initiative has been taking place, one being the national optical fiber network deployment that they would connect up fiber to all the different villages within the entire country. And along side there is also some of the key programs that Mr. Modi has pursued very aggressively even himself personally, namely the Smart Cities. And along those lines a lot of new network equipment is going to be required. And we would kind of expect that India would also be then on the track to somewhat resemble like what China went through, you almost start from nothing and then you jump to the latest and greatest of technology and be able leapfrog. So that being the case and also with our most recent interaction with the customers, we’re seeing not only there are new opportunities to engage and gain new businesses, but also opportunity to make a profit, which is why we become so optimistic and become so much more aggressive to embrace the Indian market there. Regarding your second question on the DASAN, we, since signing the agreement and the MOU with them, the early part of this year in March, we have actually jointly working with them to approach many different opportunities in Japan, in India in Vietnam and so forth. So, there are good opportunities that we’ve been working together and our partnership in Japan has already been brought to fruition and we’ve been working in that market for some time and we are deriving good profit and good revenue for both companies through that. And we continue to look to further expand that partnership. And most recently we have some joint effort together with DASAN actually showcasing some of our SDN solution and running proof-of-concept demos to multiple operators in Korea.
Brian Coyne - National Alliance Capital Markets: That’s great, very helpful. Thank you, guys.
William Wong: Thank you, Brian.
Min Xu: Thank you.
Operator: (Operator Instructions). Thank you. There are no further questions at this time. I will turn the conference back to management for closing comments.